Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Yum China 2017 Second Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise that this conference is being recorded today, Thursday, the 6th of July 2017. I would now like to hand the conference over to your first speaker today, Ms. Christie Ju, VP of Finance and Head of Investor Relations at Yum China. Thank you. Please go ahead Christie.
Christie Ju: Thank you, Joan. Good morning and good evening everyone. Welcome to Yum China's second quarter 2017 earnings call. Please note a PowerPoint presentation and a live broadcast of this call are available through our IR website under the Events & Presentations section. Joining me today are our CEO Micky Pant; President and COO Joey Wat; and Interim CFO, Jacky Lo. We will start with opening remarks from Micky, Joey, and Jacky, and then open the floor for Q&A. Please note that our earnings call and investor presentation contains forward-looking statements which are subject to future events and uncertainties. Our actual results may differ materially from these forward-looking statements and all forward-looking statements should be considered in conjunction with the cautionary statement in our earnings release and the risk factors included in our filings with the SEC. Let's start with Page 3, that's agenda. Micky will discuss second quarter highlights and the Daojia acquisition, Joey will review brand performance and digital and delivery, and then Jacky will summarize our financial results. After their opening remarks we will be happy to take questions from analysts and investors. Now let me turn the call over to Mr. Micky Pant, CEO of Yum China.
Micky Pant: Thank you, Christie, and I would like to add my welcome and greetings to you from our headquarters at Yum China here in Shanghai. If you have access to our presentation online I will start with Slide Number 4. Our second quarter results continue to illustrate strong performance of Yum China with overall same-store sales growth up plus 3% and systems sales up plus 7% before foreign exchange translation. KFC delivered strong performance with same-store sales up plus 4% and Pizza Hut same-store sales were flat with a year ago. Operating profit increased sharply plus 64% to $143 million primarily aided by the benefit of retail tax reform and same-store sales leverage. On a fully diluted basis our EPS was $0.27 up 29% year-on-year. We opened 90 new restaurants and remodeled nearly 200 stores led by KFC. We had a total of 7685 restaurants at the end of Q2. On previous calls we have highlighted our growing strength in digital and delivery and we have continued to make progress in this vital strategic frontier. With over 4900 restaurants offering delivery service total delivery sales in the quarter reached $200 million which is about 13% of our total company sales. Mobile payment represented about 40% of our total company sales and cashless payment reached a record of $900 million in Q2 alone. Our loyalty members for both brands surpassed 100 million in total with 83 million and 26 million members at KFC and Pizza Hut respectively. Joey Wat will share more details later. Finally, two other highlights of the quarter, the first was our acquisition of Daojia, an online delivery company. We acquired an 80% stake on a fully diluted basis for a total cash consideration of $61.7 million including $36.7 million to selling shareholders and $25 million in capital contribution. Lastly we repurchased YUMC shares at $39 million at an average price of $36.27 per share during the quarter. So overall we are pleased with solid progress during the quarter and now let me give you some details of sales, margins and our Daojia acquisition. So I'll draw your attention now to Slide number 5. As you can see on this slide our same-store sales growth and systems sales performance have been shown for the past six quarters. The chart on the left shows same-store sales growth for the company and as you can see the trend is encouraging. In Q1 we were able to lap a very strong Chinese New Year and in Q2 the most recent quarter we lapped a flat performance with plus 3%. The chart on the right shows the corresponding numbers for systems sales and here again the overall trend is in the right direction. At this time I wish to reiterate that same-store sales growth are always difficult to forecast. Our experience suggests that same-store sales growth can sometimes be subject to external factors that are not fully in our control. Having said so, we remain very optimistic about the long term future of China and we view the near term with confidence. Now let's move to Slide number 6. As you may be aware, since May the 1, 2016 the impact of the VAT reform has been contributing to growth in Yum China margins. Restaurant margin improved by 2.7 percentage points to 15.3% due to the VAT benefit and due to same-store sales leverage offset by some inflation in the quarter. Our operating profit grew 64% to $143 million. You will get more details about financial performance from Jacky Lo later. Now if you move to Slide number 7, I would like to make a few comments about our Daojia acquisition. We have acquired two brands, Daojia and Sherpa's and both are online aggregator platforms focused on the higher end of the delivery market. Daojia was founded in 2010 by Mr. Hank Sun who will continue to be the general manager of the acquired entity. Sherpa's has a significant presence in the market for English speaking expatriates and has been operating for 18 years. Yum China has acquired 80% equity interest on a fully diluted basis for a consideration of about $61.7 million. Please note that of this amount $25 million is the capital contribution which will be used to fund the operations of Daojia. The strategic rationale for this acquisition is threefold. First and most important we have a rapidly growing delivery business in our existing brands and we wish to increase our know-how and expertise in this important growing market. Secondly, Daojia is focused on the higher end of the market and we would like to develop more expertise in this segment. Thirdly, there are rapid technological and operational changes ongoing in the entire restaurant industry and we believe that the expertise we are acquiring from Daojia will help us improve our logistics efficiency as we continue to grow our business. Please note as mentioned in our previous press release we do not regard this acquisition as material to operating performance given the size of our company. So that concludes the overall highlights of Q2 for Yum China. I will now hand you over to Joey Wat, our President and Chief Operating Officer to take you through the performance of our brands. Joey, that is over to you.
Joey Wat: Thanks, Micky, greetings everyone. Now let me summarize the performance of KFC and Pizza Hut in the second quarter of 2017. Let's start with KFC. If you look at Slide 9, we have some key highlights of KFC in the quarter. KFC delivered plus 4% same-store sales and system sales were up 8% year-on-year. In this quarter we built 62 new stores and remodeled 180 units. Year-to-date we have built 134 stores and remodeled 205 units. Our financial performance was equally strong both operating profit and restaurant margins improved. Jacky will cover the numbers in more detail. Slide 10, let's take a closer look at the same-store sales and system sales for KFC. We have positive momentum at KFC in the past few quarters with improved growth in same-store sales and system sales. Same-store sales growth in Q2 was driven by transition growth and in addition system sales growth also improved to 8% due to new store openings. On Page 11, in the second quarter KFC conducts a series of marketing campaigns with innovative seasonal products and integrated marketing activities to contemporize the brand image. For example, our avocado range was introduced with a focus on healthy eating, the pink cola and mucha ice cream attract customers with their unique appearances and great taste. In Q2 we launched a new chicken bucket at a very attractive price of RMB39 leveraging the youthful and highly popular celebrity Lu Han with a mix of new Hong Kong flavor [ping pong tan] [ph] chicken and original recipe chicken, the bucket was very well received. We also relaunched the wing bucket which is a proven traffic driver for its attractive price of RMB39 for 10 wings. We have been selling at this price for many years. We also promote for the first time a jumbo wing bucket selling at RMB79 for 22 wings and also combo of wing bucket and drinks. To celebrate the Labor Day holiday, KFC collaborated with Chinese National Geographic on Hello China [Indiscernible] campaign. A series of designer buckets were introduced each featuring a very different city in China. The campaign promoted the fascinating landscape of China and it resonated well with our customers. Dragon Boat festival, Duānwǔ Jié was another highlight in Q2. We introduced a dragon boat bucket which offers a combination of rice dumplings or Zongzi and our signature chicken products. This creative product provides a unique connection between the east and the west while offering good value for customers. Now let's move to Slide 12. Here is an update on KFC digital and delivery efforts. In the second quarter over 45% of KFC's company sales were made through mobile payment more than double that of the same period last year and we only introduced mobile payments back to 2015 July. These numbers indicate that digital and delivery continues to drive growth and then delivery contributes to over 10% of total sales and it was up over 40% year-on-year. In Q2 we also collaborated with online aggregators on digital marketing to boost transactions. We worked with Alipay on May 20, Cyber Valentine's Day celebration wǔ èr líng to help drive mobile payment penetration for example. That concludes my comments on KFC, so if you move to slide 13, let me share a few highlights on Pizza Hut business. We have taken some steps to integrate Pizza Hut Casual Dining and Pizza Hut Home Service we are reporting the performance of Pizza Hut in a consolidative format starting this quarter. In the second quarter, same-store sales were flat from last year while system sales increased 7% on a constant currency basis. We built 25 new stores and remodeled 17 stores. On the profitability front, Pizza Hut restaurant margins improved to 13.9% with robust operating profit growth. On Page 14, let's take a closer look at the same-store sales and system sales, letting a 10% decline in Q2 2016 Pizza Hut same-store sales were flat in the second which underscores the challenges we face in Pizza Hut. As we were lapped minus 4% and minus 7% same-store sales growth in the second half of the year we expect the challenges to drive sales growth will be even tougher. On the other hand system sales trend is encouraging. We delivered 7% growth year-on-year in the second quarter. Now, let's review product innovation and marketing campaigns on Slide 15. As discussed before we see product innovation as the core focus for Pizza Hut turnaround. Here are few new items introduced in the second quarter. First, our 750 ml jumbo fruit tea, a good combination of fruit cut and tea is priced at RMB19. The 750 ml is the standard size of the [indiscernible]. It is [indiscernible] worthy and provides good value for increasingly health conscious customers. It became an instant hit as soon as it was introduced especially among the younger customers. On the back of strong popularity of European [indiscernible] we launched a series of thin crust pizza in May. We conducted an interactive promotion campaign featuring a young and upcoming celebrity. Our promotional activities generate a good social [indiscernible] among young adults and teens. [Indiscernible] generate over 100 million. The initial response to the thin crust pizza campaign was encouraging. In addition, we collaborated with the high fashion week on fashion show to help rejuvenate our brand image. We work with young Chinese artists to create unique designer clothing for Pizza Hut employees as well. This novel campaign also attracts young audience and generated good social medial platform. These are just some initial stuff which drove on product innovation and marketing campaigns. We are testing a number of new initiatives and we are learning a lot of consumer insights. I would like to emphasize that there is still a long way to go to turnaround Pizza Hut and we are working diligently to get things done. On Slide 16 here is an update on digital and delivery at Pizza Hut. Leveraging the expertise from KFC, Pizza Hut also collaborates with Alipay for the May 20 [indiscernible] Valentine's Day. In Q2 mobile payment accounted for around 31% of Pizza Hut company sales and sales from delivery grew about 40% year-on-year to about 20% of total company sales. Slide 17, I would like to discuss some initiatives we are working on to revitalize Pizza Hut. The first step of Pizza turnaround is to start from fundamentals. These include food innovation, menu integration and revamped customer service to improve dining experience. Second, we are leveraging KFC's digital expertise to enhance our capabilities in consumer engagement to drive digital campaign and boost sales. Third, we believe we have opportunities to target the various segments with diversified business models. Therefore we are testing new store formats such as small stores to satisfy different customers’ needs. Last but not least, we are consolidating the delivery network under Pizza Hut to improve coverage and efficiency. Page 18 now I would like to shift gears from brand performance to a very important strategic initiative, digital and delivery. In the past few years we have developed and executed a powerful trend towards becoming a leading restaurant brand of the future, creating an expanded runway for growth for Yum China. That means we have invest in our loyalty program, digital and delivery capabilities and a restaurant of the future format are shaping China’s restaurant industry today. Let me provide an update on our digital and delivery initiative for both KFC and Pizza Hut. Move to Slide 19, we continue to strengthen our industry-leading loyalty membership program at KFC and Pizza Hut. Total members have surpassed 100 million at the end of second quarter. KFC alone has 83 million loyal members. As mentioned before, we are shifting priority from growing members to engaging our members better. KFC’s 30-year anniversary celebration has helped to build an emotional connection with our customers. We will launch a Member's Day program for KFC and Pizza Hut providing members-only special offers. We also started to customize product offerings such as birthday [indiscernible]. Launched during the early stage we believe these initiatives will keep our members engaged and help to try frequency of their visits. We believed we have strong brand equity and see our membership program as a vital exit. We will continue to explore ways to leverage our member base to build self. Turn to Slide 20, KFC has been the leading brand for digitization. Mobile pre order, mobile payment, delivery service and membership program helped drive efficiency and enhance customer engagement. More importantly the 83 million members provide us a valuable database to understand our customers and serve them better. We will continue to embrace new technologies and apply the successful experiences to other brands in our portfolio to drive further growth. Let’s turn to Slide 21, here are some examples of digital marketing campaigns in the second quarter. Pizza Hut started to use the digital transform to engage with customer. We launch a weeklong digital membership promotion in May with limited offering coupons available for members through the digital platform. As part of KFC’s 30 years anniversary celebration we brought back a highly popular Beef Wrap menu for including a member-only privilege for first three days. This promotion is now at a huge [indiscernible] on social medial. Our Beef Wrap was ranked number four on Weibo Hot Topic. The campaign was very successful in driving traffic. Another example was our collaboration with our [indiscernible] Chan a popular singer, songwriter to promote our Born to be a Wing Fan campaign on his concert tour. This event was very well received and creates good social media as well. We have been trying different kinds of digital membership engagement despite some initial success we are learning a lot and there's still a long way for us to learn and release the power of our loyalty program. We have built an extensive delivery network over the years. KFC started delivery service in 2007 and Pizza Hut started even earlier back to 2001. Given the surge in consumer demand an emergency abrogated delivery platforms we have accelerated our delivery network stations in 2015. At the end of the second quarter over 4900 of our stores across China offered delivery services. Integrated marketing is the key to the success of growth of delivery. In Q2, we worked with abrogates to provide Pizza Hut sales. We also offer great yields again to capture sharing occasions and trade up. Digital has been an enabler to make our products more accessible to consumers. We leverage our own digital platform, a member base to drive frequency and penetration such as own platform exclusive offer. While we have had some initial success in digital and CRM we see abundant opportunities ahead and will strive to capture future growth opportunities. Now that concludes my remarks, let me turn over to Jacky.
Jacky Lo: Thank you, Joey. Good morning to those calling from Asia and good evening to those calling from the U.S. You may recall that during our previous calls, we identified several priorities for this year. First, we want to build on the positive momentum of KFC; second, the intent to integrate the casual dining and home service businesses of Pizza Hut to drive greater brand focus and finally, we have tried to invest in long term growth and create shareholder value with an effective capital allocation strategy. This morning, I’ll provide you with my thoughts on the progress we have made in the priority areas and a high level overview of our second quarter results. Now let’s turn to Slide 24, I’m pleased to report that we delivered solid profit growth in the second quarter. On the back of healthy revenue growth and margin expansion, our adjusted EBITDA increased 21% year-on-year and our operating profit increased 73% year-on-year excluding the impact of foreign exchange. And turning to system sales growth, in the second quarter our system sales grew 7% excluding the impact of foreign exchange and during the quarter, we opened 90 new restaurants, the development was across all tiers slightly skewed towards lower tier cities. Additionally to enhance our brand image and customer experience, we remodeled 197 units. So solid execution of our development plans, successful marketing campaigns and innovative product roll out contribute to our system sales growth momentum. Our restaurant margins reached 15.3% during the quarter up 2.7 percentage points year-on-year and I will elaborate more on the drivers for restaurant margin expansion in subsequent slides. Moving onto Slide 25, let me give you more color on our biggest brand KFC. During the quarter KFC’s marketing campaigns and products clearly resonate well with consumers. The KFC team generates tremendous buzz around our products by leveraging on the 30th anniversary theme, our loyal team membership program and the social media. In addition, digital and delivery also contributed to the healthy same-store sales growth momentum. We are pleased that restaurant margin increased 2.2 percentage points and operating profit increased 48% year-on-year excluding the impact of foreign exchange. This was due to the favorable impact of the retail tax structure reform and also driven by same-store sales leverage. These benefits offset wage inflation, commodity inflation and promotion impact and I will elaborate more on the inflation later on. Turning to Slide 26, as we have previously announced we want to sharpen our focus on the Pizza Hut brand and improve operational efficiency. So starting from the second quarter, we have combined Pizza Hut Casual Dining and Pizza Hut Home Service into one reportable segment. The new reporting structure reflects how we as management review and evaluate operating performance. Now let me touch on the factors that contribute to this quarter’s results for Pizza Hut, similar to KFC, Pizza Hut also benefits from the impact of the retail tax structure reform. This benefit offsets higher labor costs and commodity inflation. As a result, our restaurant margin increased 3.5 percentage points year-on-year and operating profit increased 174% year-on-year excluding the impact of foreign exchange. As Joey mentioned earlier, we are still in the early stage of our integration project. And as we enter the second half of the year, the lapping of prior year same-store sales growth will get covered and accordingly operating profit growth may also be impacted. Integration of the brands will take time and we are aware of the challenges ahead of us. Now let’s go to Slide 27. There were several factors that impact our second quarter financial results that will probably continue through the rest of the year. First, is restaurant labor inflation. Our wage inflation was 7% and commodity inflation was 4% during the second quarter. While wage inflation is an inevitable challenge in the restaurant business, we will continue to find better ways to schedule our crew and streamline operating efficiencies and processes. As for commodity inflation, we expect the rate to moderate through the balance of the year and we are maintaining our guidance of low single digit inflation for the full year. I would like to remind you that the retail tax structure reform which is an industry-wide benefit has contributed to our restaurant margin expansion since its implementation on May 1st, 2016. As we head into the third and fourth quarters, such year-on-year margin benefit will diminish and we will be lapping a high restaurant margin. Anticipating continuous restaurant level inflation as I’ve just mentioned, we will need same-store sales growth and productivity gain to sustain restaurant margins for all our brands. But that being said, we are committed to our long-term target of 17% restaurant margins for Yum China as a whole. Second is G&A cost, which increased 9% in local currency and mainly driven by higher compensation costs and public company expenses. For the full year, we continue to expect G&A increase of high single digit percentage excluding the impact of foreign exchange. And third is currency translation, considering the Renminbi U.S. dollars spot rate versus the 2016 average rate, the negative currency translation impact may continue in future quarters. Now let’s move on to Slide 28, one of the key features of Yum China’s business model is our robust unit economics which translates into strong cash flow generation. Our average pretax cash payback period for KFC new unit is below three years, for Pizza Hut it is below four years. We are able to maintain healthy returns in a highly competitive market because of our better cost infrastructure, development capability, product innovation and branding. And year-to-date in 2017, we generated free cash flows of $296 million and our balance sheet remains strong with over $1.2 billion in cash and short term investments. Now turning to Slide 29, our top priority is to invest and grow our core brands over the long term, but at the same time, we are committed to creating value to our shareholders. There are three ways to deploy our cash in the best interest of shareholders, share repurchase, strategic acquisition and dividend payout. And first on share repurchase, during the second quarter of 2017, we repurchased approximately 1 million shares for US$39 million at an average price of $36.27. At quarter end, we have $261 million remaining under our current share repurchase authorization and we plan to execute the share repurchase program in the most effective way possible in future quarters. Second as Micky has already mentioned, we acquired Daojia a strategic investment to defend our expertise in digital and delivery. And now on dividend payout, we are reviewing this important aspect of our capital allocation strategy. As you have seen in our financial results we have a solid balance sheet and we are able to generate sufficient operating cash flow to support new unit development and still have excess cash. So by the end of the year, we'll report back to shareholders on this point. As a public company, that has only been listed for less than a year, we have already commenced share repurchases and complete a strategic acquisition. So there's no question that we are committed to creating shareholder value and we're building more knowhow and strengthening our foundation in strategic growth areas. And this wraps up my comments and I'll turn it back to Micky to give you a quick summary and outlook.
Micky Pant: Thank you, Jacky. So before we open up for Q&A, let me summarize and make some quick comments about the rest of the year and I’m referring here to Slide number 30. We delivered strong overall performance in the second quarter with two statistics of particular significance; our loyalty membership program surpassed 100 million members and over 40% of our total company sales were settled with mobile payment during the quarter. Based on our first half performance, we feel confident that we will be able to deliver 550 to 600 new units coupled with double-digit operating proper growth excluding foreign exchange for the full year. For the rest of 2017, we remain focused on three priorities. The first remains to build same-store sales with innovative products and creative marketing campaigns. Second, we are embarking on a comprehensive strategic plan for Pizza Hut. This covers revitalizing our dine in business, integrating our growing delivery business across all channels and maximizing growth opportunities. We’re encourage by our digital and delivery capabilities to drive long term growth and shareholder return. And lastly Jacky mentioned we’re analyzing cash deployment opportunities to enhance value to shareholders and we will announce more details of this for subsequent quarters. So that concludes our prepared remarks and now I will turn you over to Christie to commence with Q&A.
Christie Ju: Thank you, Micky. Before we start the Q&A let me just highlight we have an upcoming Investor Day event in Shanghai. Yum China will host our 2017 Investor Day October 17 to 19. In addition to senior management presentation we will also have logistics center tour, new product testing and our test kitchen, store visit in Shanghai, Hongdu [ph] and lower tier cities and you also have a chance to meet the management for cocktail [ph] and industry experts including and financial for lunch. Some of you already registered, but if you haven't done so, please contact us after the call. Now moving on to the Q&A session please, we would like to take as many questions as possible and we would appreciate if you can limit your question to two each and you can go back to the queue for additional questions if you need it. Joan, we will be ready for the first question please.
Operator: Thank you, Christie. [Operator Instructions] Our first question comes from the line of John Glass from Morgan Stanley. Please ask your question.
John Glass: Thanks very much. Mickey thanks for the detail on the loyalty membership and the growth in that, what percentage of your transactions are tender on that loyalty program, do you have the number for that?
Micky Pant: We've not published those numbers yet John. This whole thing has developed very rapidly and I think as Joey said that the impressive thing has been the rapid build up crossing 80 million members for KFC alone. We've seen encouraging signs, we referred to like the 30th anniversary campaigns we were actually able to drive sales using the loyalty program, but as she said I think it's still early days in determining what the impact of it is going to be on sales long term. We regard it as a very promising area, so Joey any further comments.
Joey Wat: No.
Micky Pant: Okay, thank you John.
Operator: Our next question comes from the line of Christine Peng from UBS. Please ask your question.
Christine Peng: Hi management, I have two questions, one in for KFC. Hi Joey, can you give us a breakdown for KFC same-store sales growth between transaction and ticket value? I think I remember you mentioned that transaction growth is the primary driver behind its 4% same-store sales growth, but I would like to get a detailed breakdown in terms of the transaction and ticket value. And also you mentioned delivery growth by 40% for KFC given the 4% same store sales growth, does that mean the KFC in-store i.e. [Indiscernible] value has turned flattish with previous declines for KFC?
Joey Wat: Okay, is it your first question or all the question? All right okay, for the transaction the breakdown is 3% transaction and 1% on ticket average. The transactions mainly are coming from restaurants and kiosks. So I'd just like to remind well the we always traditionally emphasize on transaction growth, but for us the most important thing is the total sales because when we grow our delivery business our transaction growth rate go down as well because the ticket average will go up so there is always a balance between the two. The second question is on delivery and I think we had that question before in previous meetings and my response remains the same. We don't look at the business that way because we pay on our advantage which is the fact that we have a very good number of stores, physical stores, and we drive the sales from each of the store. It doesn’t matter whether the sales is on deliveries or take away or dining as long as the store is growing the RGM is responsible for all the business.
Christie Ju: Thank you, Christine. Operator, can we have the next question, please?
Operator: The next question comes from the line of Sara Senatore from Bernstein. Please ask your question.
Sara Senatore: Hi, yes, thank you very much. I wanted to ask about Pizza Hut if I could. Just when we are looking at the historical data it didn't look like maybe there was quite as much difference between dine-in and delivery in terms of same-store sales trajectory and we might have expected so I guess the first question is, could you give some color on how delivery performance may compare with dine-in for that business because I think the perception is that you know the issue maybe with the in restaurant demand. And then I guess, on a same note, could you maybe talk about relative profitability with those two businesses, you know delivery, higher check, but maybe more labor associated with it? And just in that context to what extent do you think the issues that Pizza Hut are about the competitive environment, overall demand or you know still something specific to may be the execution around value or some of the other things you mentioned if you can talk about your strategic plan? Thanks.
Micky Pant: Sara, this is Micky I'll just start with the answer to your questions and ask Joey to fill in the gaps. Firstly, if you take the first half that's Q1 and Q2 gone by and as you know with Q2 we started reporting consolidated. There is no material difference between whether we report Pizza Hut and dine-in separately or delivery separately, so it's all approximately similar. I think the important differentiation is that there are within the dine-in business there is a delivery component and that's relatively recent. So, we started delivering out of our dine-in restaurants more recently our business is growing very nicely. So, overall on delivery profitability we will not be commenting at this time. I think we previously said that we regard both segments as profitable for us and we see that no reason to go that differentially in any way. So, overall, you know I think that delivery does offer an opportunity for Pizza Hut just as it does for KFC. You've seen that the growth has been quite rapid there. On your question of value, I think we are fairly positioned. I think that Joey is looking at the business [Indiscernible], obviously a lot of things have been tested right now so, I hope that answers part of your question.
Joey Wat: Sara, to address your question on the competitive environment of the overall business, the competitive environment is quite competitive actually. I mean depending on how do you look at it one way you looked at being in western Casual Dining we are very competitive to rest of competitors however the other way to look that it is to look at a ticket average, the ticker average of Pizza Hut is higher than KFC. And our ticket average [Indiscernible] smaller competitors whether it's Western or Chinese they are all competitors. So that is another way if you look at it. And for Casual Dine-in these days in China I would say is probably slightly more competitive than even [Indiscernible]. In terms of your question about institutional value, what I would like to emphasize is, we really are looking at the business in a holistic approach, because I mean of course it will be very, very good to pinpoint one or two aspects, but the reality is the business has been on decline for three years. So there they have put a few key aspects of the fundamentals of the business that we need to fix. As I mentioned in the presentation earlier, one is the product. The new product, the existing product, the service, the value for money, so all these we have to do it diligently one by one. One category by one category. One [indiscernible] and we are right now on the track.
Sara Senatore: Thank you very much.
Christie Ju: Thank you. Operator, can we take our next question?
Operator: Yep, our next question comes from the line of Michelle Chang from Goldman Sachs. Please ask your question.
Michelle Chang: Hi management, thanks for taking my questions. I have two questions here. Firstly on Pizza Hut, since we are integrating the business of Pizza Hut Casual Dining and Home Service and can you please give us some color on the co-saving in the near term and in the longer term, trying to understand that whether that sound like low hanging fruit co-saving we can see to drive the margins in the next few quarters on top of those ongoing strategy initiatives? And that is my first question. And secondly on cost, can you also give us some color on the rental cost trends including the percentage of sales and also mix between the variable and fixed component? Thank you.
Joey Wat: Okay, Micky will take.
Micky Pant: I think, let me just take a top line view Michelle to your two questions. On the integration of dining and home service, obviously there would be synergies because they are appealing to the same customer at the end of the day and instead of just 330 or so home service units now we can look at the entire state of 2000 units and see whether we can deliver and we are actively growing that base, so that will continue. And as delivery grows overall, you will get cost efficiencies as well. So at the moment, we haven’t given any parsed out data on the impact of margins of our delivery integration and we will report that as we go along in the future. As far as rentals, there is no significant change. I think as you know, we have a pretty significant mix of our estate is based on sales as a percentage of sales there has been no significant change in that regard.
Joey Wat: Michelle, for the Pizza Hut integration, as Micky mentioned, we will go through it diligently, but one thing I just want to add is, while we would like to realize some savings or benefit, we would also reinvest the savings benefit if when appropriate to build the sales for our future, so that is an additional point.
Christie Ju: So thank you, Joey, thank you Michelle.
Michelle Chang: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Matt McGinley from Evercore ISI. Please ask your question.
Matt McGinley: Thank you. My first question is for probably Jacky on the overall movement in the restaurant level margins. I know you only had two months of the full lap of the VAT benefit in this quarter, but the food benefit that you’ve got in this quarter was considerably less than what you have got in prior quarters and I assume that is probably Chicken inflation and yet the benefit to occupancy and other expense was considerably more than in prior quarters. So can you give me some context in as to what the overall movement drivers were in that margin in the quarter and I guess why that the occupancy was so different this quarter versus prior quarters? And then the second question is probably for Micky or Joey on the cash payment, I just want to make sure I understand the increase in mobile payment from quarter-to-quarter, I know you partnered with your aggregators, but when you look at KFC year-over-year it only went from 8% to 10% of sales were delivery and yet you had a sequential increase and mobile payments went from I think 31% to 45%. So I’m not sure with that two point increase on delivery and how that translates though 14 point increase on total mobile payment?
Micky Pant: I will finish the last one very quickly Matt and I will hand you back to Jacky for the question on the margins. It is 40% of our total revenues, total China revenues on our mobile payment, so very significant of what is happening out in-store is also mobile and that the actual the experience is changing very rapidly at mobile. If you now come to China and visit a KFC you will be surprised of the number of people not standing in line but actually ordering on their phone just like you would at an airport where you check in at a machine. And also Alipay, WeChat have been very good at expanding their networks and promoting it well. As a result of that we believe China is far ahead of anybody else in terms of mobile payment. Obviously, when you pay through mobile you capture data, there is all that convenience. So the delivery has always been significantly mobile led but now large part of their retail dining experience is also going through mobile so exactly on the margin.
Jacky Lo: Okay, oh Matt on your first question on margin, I mean when it comes to our margin we really try to view our business holistically in its entirety. So I mean we closely monitor what is happening in the competitive environment. We evaluate what our competitors are doing and we try to make sure we get the best outcome for our customers and for our friends, so that we can grow our sales and sustain our margins. So as mentioned in my comments, our restaurant margin expansion was primarily due to the VAT benefits and as you pointed out in May we began to lap the benefits, so it is no longer a tailwind. As we head into the third and fourth quarters the year-on-year margin benefit would diminish and we will be lapping high additional margin. So if you consider the commodity and labor inflations that I mentioned earlier, the margin expansion is going to have to come from our same-store sales growth. And as management we have to make this also top priority. And we have a number of initiatives and strategies around digital and delivery and as well as product innovation and value. We also feel that our brands have pricing power should we need to take pricing. So that being said we are committed to our long-term target of 17% restaurant margin for Yum China as a whole.
Matt McGinley: Okay, thank you very much.
Operator: Our next question comes from the line of Anne Ling from Deutsche Bank. Please ask your question.
Anne Ling: Hi management team, I - first just follow up on regarding the same-store sales growth. You mentioned about like a question for Jacky, you mentioned about like you know the price, the wage increase and all these commodity price increases, so what sort of like same-store sales growth we need to offset this cost increase, is this possible to give us a figure or figure for KFC? And the second question is on the share buyback. What is - like you know what are the criteria in considering that share buyback like let’s say $36 or $40 and is there any particular criteria that you're looking at earnings yield or anything on that part? Thanks.
Jacky Lo: Okay and thank you for your questions. So, on your first questions on the level of same-store sales growth required to maintain margins. So I mean, we expect our labor inflation to continue in the high single digit range and commodity inflation to be in the low single digit. And as you know, I already pointed out a couple of times in May we began to lap the VAT benefit, so it's no longer a tailwind. But if you look at the combination of all this in order to cover our inflation and maintain our margin, we need solid same-store sales growth, but we have not set a specific target for that because again, we view our business holistically and in its entirety. Once again keep in mind we have had relatively modest pricing due to the VAT benefits, so we do feel that we are competitively priced today, but we also feel that our brands have the pricing power if we want to take pricing. And on your second questions on share buyback, as I mentioned earlier, I mean during this quarter we repurchased approximately 1 million shares for $39 million or an average price slightly above $36 and I mean we still have $261 million remaining under our share repurchase authorization. But our plan, I mean there's no fixed rule, I mean our plan is just to execute the program in the most effective way possible in the future quarters.
Micky Pant: And just a couple of color and just to add to what Jacky has said to you, remember it's not as though VAT is going away, it's just that we start lapping it right. So the benefit continues and obviously in a competitive market somewhere, because our competitors get the same benefit. I think from the comments that Joey made earlier and Jacky made just now, you saw we had positive transaction growth, so it appears that the business is growing in a healthy fashion and we have not taken pricing for a long while. I think Joey referred to the wing bucket being selling at the same price in four years, et cetera. Now Pizza Hut is a slightly different story, but on KFC we believe there could be pricing power if needed. So overall I think that we feel quite confident about being able to grow our profit overall, but like Jacky said rightly, it is moving, it's moving things we don't really fix so much on it, we approach it quarter-by-quarter and make pricing decisions accordingly.
Joey Wat: One last point to add I guess on the wage increase is if you look at KFC’s number the wage percentage while we experience wage increase but we manage to find ways either through more efficient procedure and process or technologies to maintain the cost of labor sales ratio in the last few years. It has been relatively stable, so that will help and we certainly will look at every line to find opportunities in order to maintain the margins. Good, thank you.
Christie Ju: All right, thank you. Let’s take our next question please.
Operator: And our next question comes from the line of Brian Bittner from Oppenheimer. Please ask your question.
Brian Bittner: Thanks for taking the question. I have two margin questions and then I’m going to ask a follow up on cash. On the margins question the first question back to Matt McGinley’s question, I don’t think you guys really directly answered it. What was the driver of the year-over-year improvement in the occupancy and other operating expense margin this quarter, because I don't think any of VAT any of the retail tax on that line item? That's the first margin question. Second margin question is, you reiterated the goal to get to 17% margins, but if you hold margins flat from here for the rest of the year you'll already be at 17% margins. So, the question is, are you saying that your goal going forward is to just hold margins flat on a year-over-year basis kind of from here going forward?
Micky Pant: Brian, Firstly VAT impacts every line. So, it's not just related to food. It is related to occupancy. It is related to utility. It is related to everything. It's a comprehensive tax reform in China. Anybody gives us a way to reform we can qualify the invoice we can the docs rate, so that's a significant feature that's had an impact on all the lines. So it's not the understanding you know or that occupancy is not impacted by VAT is not really true. On the margin and Jacky do you want to take the second part of the question?
Jacky Lo: Oh yes, the second question is on this long term the market – restaurant margin target. So, I mean again I mean going into the second half of the year the year-on-year revenue margin benefit would diminish as I pointed out a couple of times. So, we'll be levering a high restaurant margin going forward. But I mean like I said earlier the VAT benefit is not going away. I mean we have already switched to around 16% range for the restaurant margin, but our long term target is still 17%. So I mean, going forward we still have to work on our same-store sales growth to get to that point.
Micky Pant: I think overall margins have been very healthier since - right since May of last year. So, as we go into this year, we've got the assure continued growth in margin becomes more challenging because you don't have the lapping VAT benefit, but we have – if it does settles at a high level and now we have to see where...
Brian Bittner: I understand VAT does not go away, I fully comprehend that. Are you expecting the margins to decline in the second half because what I'm trying to say is if the margins are flat in the second half you have 17% margins this year if they're flat. So I guess, because I think it's good to have the expectation out there so everybody understands, are we expecting margins to decline year-over-year now that we're not getting that tailwind in the second half because if they don't then we'll have 17% margins this year already and you'll be at your target is kind of what I'm saying.
Christie Ju: Brian, it's Christie here. I understand your question. We are definitely not guiding you know the near term margins on quarter-to-quarter or half to half. The 17% is our longer term target for restaurant margin and just to be fair compared with across the industry we believe 17% once we achieve it, it will be a very healthy target already. We are not providing additional guidance in terms of the margin. You know all we are saying is we are confident with the double-digit operating profit growth. I think that and once we achieve that 17% longer term target, obviously we wanted it to be, you know we want to be able to achieve it sooner rather than later we think we can look at and/or go and make additional adjustments. But what's important at this point in time as we highlighted by the management is that keep in mind Pizza Hut is due in a turnaround period. At this time I think what we are focusing on is really to drive sales and we will - we have all the confidence that once the sales is revitalized the margin will follow. And so again, just to be very clear we are not providing second half margin guidance at this time and we are confident that as long as we continue to push forward as the priorities the margin will follow.
Brian Bittner: Thank you.
Christie Ju: Can we take the next question please?
Operator: Our next question is a follow up question from Christine Peng from UBS. Please ask your question.
Christine Peng: Hi management. I have two quick questions. One is for Pizza Hut. Can you provide us a breakdown of same-store sales growth between traffic and ticket value? Second question is for Jacky, the cost pressures you mentioned in the second quarter is actually not very different from the first quarter. However, when we look at the spot market prices for lot of commodities especially like chicken, actually in the second quarter chicken prices have fallen quite dramatically compared with first quarter. The reason the cost pressure consisted keeps almost the same level in the second quarter is it because of inventory and looking at the second half of the year what is expectation towards chicken price on a year-on-year basis for Yum China? Thank you.
Micky Pant: Okay, so Joey can answer Pizza Hut traffic question and Jacky can address commodities here.
Joey Wat: Christine, for Pizza Hut right now we are running at 1% increase on transition and 1% decline in ticket average. As we are going through the product review we certainly focus on good new products and good value for money. So going the focus would still be more on getting more customers into the store. As I've said go to Jacky.
Micky Pant: Jacky before you start just quickly Christine since you are following the company so closely, you picked up from Joey rather the traffic growth in KFC was plus 3 and Pizza Hut is plus 1. And now I think Joey is absolutely right in cautioning that, well that's good and we're happy with those numbers. Just remember that as delivery grows it was special in traffic because our transactions rather. Total number of customers may increase, but the average ticket per transaction grows a lot. Plus as we sell buckets during holidays et cetera and the bucket mix is increasing that also has an impact. So, it's kind of parsed out number, but overall numbers were plus 3 and plus 1.
Joey Wat: And thank you, Micky. Actually the dynamics is different for two business. So I just want to take the opportunity may be to talk a little bit about it. Because for KFC the more delivery we do, the lower ticket average, sorry the higher ticket average we have, the lowest ticket TC we have because their average TA for ticket average for KFC is much higher delivery than dining. However, for Pizza Hut it is the reverse. So Just modelling you look at the business because the more delivery we're drive in Pizza actually the lower ticket average we have.
Jacky Lo: And Christine on your second question on the commodity price or specifically chicken price, commodity inflation was 4% during the second quarter and the rate peaked at 4.5% in the first quarter, this came out to 4% in the second quarter and we expect it to continue to moderate throughout the rest of the year. So, we have finalized purchasing contracts for roughly about 90% of our full year expense [ph] and at this time we expect commodity inflation to be low single digit percentage for the full year.
Christie Ju: Thank you. Can we take the last question please?
Operator: Next question is a follow up question from Anne Ling from Deutsche Bank. Please ask your question.
Anne Ling: Hi, it's regarding on the effective tax rate, I've noticed that there is some volatility in by quarter and just wanted to check what is our full year guidance? I think like you know round listing term we mentioned about the effective tax around 27% or 28% to 40% correct me if I’m wrong and so what is, is there any guidance for the full year? And for this guidance does that include also like you know the potential like withholding tax, if we’re paying dividend or this is after excluding that?
Jacky Lo: Okay. On your question, so for Q2, yes the effective tax rate was little bit higher than last quarter, last year’s Q2 and keep in mind we were still part of Yum this time last year. So our tax rate in Q2 2016 was related to Yum’s global tax strategy. So but for the full year in 2017, we maintain our guidance of an effective tax rate in the high 20s and that will reflect all the withholding tax that you just mentioned.
Anne Ling: Okay, thanks.
Christie Ju: Okay.
Operator: There are no further questions at this time. I would now like to hand the conference back to today’s presenters for some closing remarks.
Christie Ju: Okay. Thank you everyone for participating to the call, I also thank the team and for a lot of interesting questions. If you have any follow up, feel free to contact us. That is it for now. Thank you very much.
Joey Wat: Thank you.
Micky Pant: Okay, thank you everyone. Bye-bye.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your attendance. You may all disconnect.